Operator: Good afternoon. My name is Mandy and I will be your conference operator for today. At this time, I would like to welcome everyone to the Semtech Corporation Quarter One FY ‘18 Earnings Release Conference Call. [Operator Instructions] Thank you. Sandy Harrison, you may begin your conference.
Sandy Harrison: Thank you, operator and welcome to Semtech’s conference call to discuss our financial results for the first quarter of fiscal year 2018. Speakers for today’s call will be Mohan Maheswaran, Semtech’s President and Chief Executive Officer and Emeka Chukwu, our Chief Financial Officer. A press release announcing our unaudited results was issued after the market closed today and is available on our website at semtech.com. Today’s call will include forward-looking statements that include risks and uncertainties that could cause actual results to differ materially from the results anticipated in these statements. For a more detailed discussion of these risks and uncertainties, please review the Safe Harbor statement included in today’s press release as well as the other Risk Factors section of our most recent periodic reports filed with Securities and Exchange Commission. As a reminder, comments made on today’s call are current as of today only and Semtech undertakes no obligation to update the information from this call should facts or circumstances change. During the call, we will refer to non-GAAP financial measures that are not prepared in accordance with generally accepted accounting principles. Discussion of why the management team considers such non-GAAP financial measures useful, along with detailed reconciliations of such non-GAAP measures to the most comparable GAAP financial measures, are included in today’s press release. All references to financial results in Mohan’s and Emeka’s formal presentations on this call refer to non-GAAP measures, unless otherwise noted. With that, I will turn the call over to Semtech’s Chief Financial Officer, Emeka Chukwu. Emeka?
Emeka Chukwu: Thank you, Sandy. Good afternoon, everyone. For Q1 of fiscal 2018, GAAP net sales were $143.8 million, an increase of 3% sequentially and 10% year-over-year. Q1 GAAP net sales included $5.3 million expense for the Comcast warrant. Q1 GAAP gross margin decreased 60 basis points sequentially to 59% as the benefit of a more favorable product mix was offset by the impact of the higher sequential Comcast warrant expense. Q1 GAAP operating expense decreased approximately 2% sequentially due mainly to the timing of expenses. Q1 GAAP tax rate was 24.1% compared to 27.1% in Q4. For fiscal 2018, we expect our GAAP tax rate to be in the 22% to 26% range. Moving on to the non-GAAP results, which exclude the impact of share-based compensation, amortization of acquired intangibles, acquisition or disposition-related and other non-recurring charges not tied to current operations. Q1 of fiscal 2018 net sales were $149.1 million, a 5% sequential increase on 14% increase year-over-year and represented a sixth consecutive quarter of results above the midpoint of our guidance. In Q1, shipments into Asia represented 75% of total net sales, North America was 18% and Europe was 7%. The total sales to distribution represented approximately 64%, and the net sales represented approximately 36%. Q1 bookings again increased sequentially and year-over-year and resulted in a book-to-bill firmly above 1. Those bookings accounted for approximately 41% of shipments during the quarter. Q1 fiscal 2018 non-GAAP gross margin was 60.9%, an increase of 40 basis points sequentially due to more favorable mix of products. We expect our Q2 fiscal 2018 non-GAAP gross margin to be flattish to slightly higher sequentially. As a reminder, during our last call, we increased our non-GAAP gross margin target range to 58% to 63% versus our prior range of 55% to 60%. We expect much of our growth to come from higher margin businesses. And increased absorption from overall revenue growth and royalty and licensing revenue from LoRa should enable us to sustain this higher gross margin range. We also increased our non-GAAP operating margin model to 28% to 32% accordingly, and we expect we could begin to achieve the midpoint of this new range of 30% at a quarterly revenue run rate of $185 million. Q1 of fiscal 2018 non-GAAP operating expense was $51.2 million, down 2% from Q4 levels due to the timing of expenses. In Q2, we expect our non-GAAP operating expense to increase approximately 3% sequentially, mainly from higher variable compensation expense driven by stronger demand. For modeling purposes, we continue to expect our non-GAAP operating expenses for fiscal 2018 to be similar to fiscal 2017 and to average approximately $52 million a quarter. In Q1 of fiscal 2018, our non-GAAP tax rate was 20.5%. We expect our fiscal 2018 non-GAAP tax rate to be between 19% and 23% based on current assumptions regarding the regional mix of revenue. In Q1, cash flow from operations was approximately $10 million as Q1 is typically a seasonally weaker quarter as we make our annual bonus payments. Cash and investments in Q1 were $282 million, and our debt balance at the end of Q1 was approximately $240 million, leaving us in a positive net cash position. In Q1, approximately 76% of our cash and investments were domiciled in international accounts, and 24% was based in the U.S. We repurchased approximately $10 million or 300,000 shares of stock and the outstanding stock repurchase authorization stands at approximately $52 million. The primary use of cash continues to be to pay down our debt, make strategic investments and opportunistically repurchase our shares. In Q1 of fiscal 2018, accounts receivable increased 9% sequentially due to higher net sales and the lower mix of shipments to distributors. Our days of sales outstanding decreased 3 days to 33 days as we managed below the target range of 40 to 45 days due to better shipment linearity and the higher mix of shipments to distributors. Net inventory in absolute dollar terms increased approximately 17% sequentially and represented 111 days of inventory and above the target range of 90 to 100 days. In Q2, we expect our inventory to increase slightly in response to increasing demand. In summary, fiscal year 2018 is off to a great start for Semtech. We delivered our sixth consecutive quarter of strong performance as our growth drivers and target markets are continuing to deliver solid results. Our gross margins are expanding and we are controlling our OpEx, which is delivering strong operating leverage. All of this leads us to believe the company is poised to deliver a record financial performance in fiscal year 2018. I will now hand the call over to Mohan.
Mohan Maheswaran: Thank you, Emeka. Good afternoon, everyone. I will discuss our Q1 fiscal year 2018 performance by end market and by product group and then provide our outlook for Q2 of fiscal year 2018. In Q1 of fiscal year 2018, we achieved non-GAAP net revenues of $149.1 million, an increase of 5% sequentially and 14% over the same period a year ago. We posted non-GAAP gross margin of 60.9% and non-GAAP earnings per diluted share of $0.44. In Q1 of fiscal year 2018, demand from the enterprise computing market increased over the prior quarter and represented 34% of total net revenues. Demand from the high-end consumer market also increased from the prior quarter and represented 29% of total net revenues. Approximately 23% of high-end consumer net revenues was attributable to handheld devices and approximately 6% was attributable to other consumer systems. Demand from the industrial and communications markets declined over the prior quarter and represented 23% and 14% of total net revenues, respectively. I will now discuss the performance of each of our product groups, beginning with our Signal Integrity Product Group. In Q1 of fiscal year 2018, net revenues from our Signal Integrity Product Group increased 5% sequentially, and represented 46% of total net revenues. Demand from the enterprise computing market increased sequentially. Our 100-gigabit per second ClearEdge platforms achieved a new quarterly revenue record, driven by demand from the cloud and hyperscale data center markets. Our 10-gigabit per second PON platforms also achieved a new quarterly revenue record, driven by fiber to the home and enterprise deployments mostly in China. We expect the demand from these segments to continue to increase throughout this fiscal year. Our Signal Integrity Product Group is a leading provider of clock data recovery circuits, or CDRs, and physical media devices, or PMDs, used in a wide range of optical modules, spanning from 1-gigabit per second to 400-gigabit per second. We are benefiting from several trends led by an underlying demand for higher bandwidth. These trends are driving increased demand for our ClearEdge platforms that address the signal integrity issues associated with higher data rates. The higher demand for our CDRs, along with strong demand for our PMD platforms, is contributing to increased Semtech content in optical modules across all of our markets. During the quarter, we announced several new high-performance, low-power and low-cost ClearEdge platforms targeted at next-generation 25-gig and 100-gig optical modules used in data center applications. We also introduced our first 53-gigabaud PAM4 linear driver and TIA chipset that provides a seamless interface to PAM4 optics, tailored for 100-gig and 400-gig modules. We continue to make good progress on our single lambda 100-gigabit per second PAM4 platform through our partnership with MultiPhy, and we believe we are well positioned in the emerging 100-gigabit per second single-lambda PAM4 market, which is expected to gain traction towards the end of next year. Our Signal Integrity Product Group continues to bring to market platforms tailored to provide the highest performance and lowest power to the fastest-growing segments of the enterprise computing and communications markets. With the steady pace of new products and a doubling of our SAM from our target markets expected over the next few years, we believe our Signal Integrity Product Group will continue to deliver double-digit year-on-year revenue growth, which it has produced over the last 5 years. In Q2 of fiscal year 2018, we expect net revenues from our Signal Integrity Product Group to increase, led by demand from the data center and 10-gigabit PON markets. Moving on to our Protection Product Group. In Q1 of fiscal year 2018, net revenues from our Protection Product Group increased 2% sequentially and 34% over Q1 of the prior year and represented 28% of total net revenues. Demand increased sequentially from the high-end consumer and the industrial end markets. Demand from our Korean smartphone customers increased significantly over the prior quarter, driven by the ramp of new flagship smartphone models and the broader use of high-end protection platforms across multiple smartphone models. This strength offset some weakness in the China smartphone market in Q1. Our Protection Product Group continues to benefit from several secular industry trends contributing to its growth. The use of more advanced chip lithography utilized in today’s electronic systems has resulted in lower levels of on-chip protection, leading to the use of more off-chip high-performance protection. Additionally, mobile system manufacturers are demanding higher performance in smaller form factors where Semtech’s innovative Z-Platforms deliver the most compelling solutions. Finally, in communications, industrial and automotive systems, where lower performance, discrete protection devices were once good enough, we are seeing a transition to Semtech’s advanced protection platforms with our low capacitance, robust transient voltage protection and high surge protection are now replacing these lower-performance solutions. Our Protection Product Group is also focused on developing new products to help expand into new, fast-growing and emerging markets, including IoT, automotive and data centers. During the quarter, we announced additions to our RClamp protection platform that can be used for protecting IoT gateways and end nodes from electrostatic discharge events. At the Automotive Ethernet Congress recently held in Munich, we showcased our latest protection solutions targeting automotive systems that require reliable, robust performance with minimum maintenance. Semtech’s industry-leading protection devices are able to safeguard these next-generation automotive Ethernet ports from ESD threats. Our Protection Product Group’s strategy of focusing on advanced lithography protection while diversifying the business is paying off, and we believe in this should contribute to sustainable growth over the next several years. In Q2 of fiscal year 2018, we expect our protection business to increase from the prior quarter on higher demand expected from our smartphone customers. Turning to our Wireless and Sensing Product Group. In Q1 of fiscal year 2018, net revenues from our Wireless and Sensing Product Group increased 32% sequentially and increased 79% over Q1 of fiscal year 2017, and represented 19% of total net revenues. Q1 results represented a new quarterly revenue record for our Wireless and Sensing Product Group, led by record revenues from both our LoRa and proximity sensing platforms. Our LoRa business achieved another revenue record and continues to exceed our expectations as the global LoRa ecosystem is transitioning from running proof-of-concepts and trials to deploying real IoT use cases. It has become clear that low-power, long-range, wide area networks are the enabler for a new generation of IoT use cases that can be deployed quickly and inexpensively and has the potential to disrupt many existing industries. We believe that, by the end of fiscal year 2018, there will be an estimated 60,000 outdoor LoRaWAN gateways installed globally. We believe that this network footprint will be able to support more than 0.25 billion LoRa-based end nodes or sensors. We anticipate a number of indoor picocell and outdoor macrocell LoRaWAN gateways to continue to increase dramatically over the next few years and enable connectivity of billions of LoRaWAN sensors within a few years. We are now seeing a steep increase in the availability of LoRaWAN sensors and end nodes being developed and announced. This is beginning to enable many new LoRa use cases. Some of the recent sensor announcements from our ecosystem partners include Butano 24, a Spanish company developing IoT devices for energy and utility companies, created a gas bottle sensor to measure the gas level within the bottle. When the gas level gets low, a request for refill can be automatically triggered using LoRa. Maxtrack, a leader in vehicle tracker solutions, developed a solution that helps recover stolen vehicles and cargo in metropolitan areas of Brazil where LoRaWAN networks are now being deployed. Eddy Home, an award-winning manufacturer of residential water technologies, developed a LoRa-based smart home water protection solution designed to provide users 24/7 protection from slow leaks, burst pipes and other unforeseen circumstances. Global Sat demonstrated a large number of LoRa end node devices at embedded world, designed for applications like smart buildings, smart agriculture, air quality, water leaks and vibration detection. These are a few of the many LoRaWAN sensors and end nodes currently under development. In addition to the increasing deployment of gateways globally and the increasing availability of LoRa sensors, we are also seeing the emergence of new exciting LoRaWAN used cases. Some of these used cases use advanced features, such as GPS free geolocation, while others use the simplicity and low cost of LoRa to disrupt existing verticals. The LoRa Alliance and its global member footprint continues to grow, with providers in over 50 countries having announced LoRa network trials or deployments. A notable addition to the LoRa Alliance in Q1 was Comcast, whose trials in U.S.A. continue to progress very nicely. Comcast has been elected to the LoRa Alliance board and will also host the next LoRa Alliance All Members Meeting in Philadelphia in June. We anticipate that Comcast will begin to communicate the progress of its machineQ LoRaWAN initiative at this meeting. In Q1, our proximity sensing business also delivered a new quarterly revenue record as mobile device manufacturers attempt to sense and control RF emissions. We are seeing increasing demand for our proximity sensing platforms from smartphones and wearables as regulations against excessive radio emissions close to the human body become more stringent. As the usage of high-powered radios in mobile devices increases, we believe that the use of Semtech’s proximity sensing platforms will also increase. For Q2 of fiscal year 2018, we expect net revenues from our Wireless and Sensing Product Group to increase, driven by increased demand for our LoRa and proximity sensing platforms. Turning to our Power and High-Rel Product Group, in Q1 of fiscal year 2018, our Power and High-Reliability Product Group decreased 23% sequentially and represented 7% of total net revenues. Demand decreased across all our end markets from the prior quarter, driven mostly by seasonal trends. Our power and high-rel business remains focused on delivering differentiated platforms for the automotive, industrial and wearable segments. Semtech’s wireless charging platforms deliver flexibility and versatility across numerous product segments by offering a programmable, multimode and scalable solution, with power ranging from 100 milliwatts to over 40 watts. Our LinkCharge family of wireless power products provides a range of solutions, enabling wireless power for products used by consumers, infrastructure and industrial applications. Design win activity for wireless charging remains solid, and we expect industry adoption to increase significantly over the next 12 to 18 months. Interest also remains strong for our newest Neo-Iso switching platforms from customers developing self-powered control systems used in IoT applications such as smart thermostats, alarm panels and factory automation systems. Other customers are also using our Neo-Iso products to replace designs that were using older mechanical relays and we expect this business to continue to grow as more systems continue this transition. In Q1, our Power and High-Rel Product Group released a record number of new products targeting a broad range of applications. These products included our newest family – product family of load switches as well as our LinkCharge low-power platform used for charging multiple devices. We expect to continue to release more new power platforms in the next few quarters that is expected to drive revenue growth for this business over the next several years. In Q2 of fiscal year 2017, we expect net revenues from our Power and High-Reliability Product Group to rebound nicely from the seasonally lower Q1. In Q1, the total company distribution POS was flat with the prior quarter’s record performance. Distributor inventory increased by 1 day from 69 days in Q4 to 70 days in Q1 and remains at the lower end of our targeted range of 70 to 80 days. Our distributor business remains very well balanced, with 57% of the total POS coming from the high-end consumer and enterprise computing end markets and 43% of total POS coming from the industrial and communications end markets. Moving on to new products and design wins. In Q1 of fiscal year 2018, we released 24 new products, and we achieved 2,173 new design wins. In addition, our design win dollars achieved a new quarterly record. Now, let me discuss our outlook for the second quarter of fiscal year 2018. Based on current bookings trends, we are currently estimating Q2 non-GAAP net revenues to be between $150 million and $160 million. To attain the midpoint of our guidance range or approximately $155 million, we needed net turns orders of approximately 31% at the beginning of Q2. We expect our Q2 GAAP earnings to be between $0.20 and $0.26 per diluted share and our Q2 non-GAAP earnings to be between $0.43 and $0.49 per diluted share. I will now hand the call back to the operator. And Sandy, Emeka and I will be happy to answer any questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Cody Acree with Drexel Hamilton.
Cody Acree: Hi, guys. Thanks for taking my questions and congratulations on the continued progress. Mohan, maybe if you could talk a bit more about the Chinese OEM weakness, what kind of visibility do you have to that recovery? And was it seasonality or inventory excesses, I guess, what do you contribute that to?
Mohan Maheswaran: Well, the only Chinese weakness we see is in the base station side, mostly. I think it just hasn’t come back. It’s not growing as fast as we’d like it to grow. But I don’t think it’s weak so much as it’s just we haven’t seen any indications that it’s going to grow anytime soon. But that I think is the only area in the infrastructure side that we see the weakness. The PON side, specifically the 10-gig PON, seems to be doing quite well. I would say the low bandwidth PON is kind of slow, but that would be I think all we see. And then on the smartphone side, the China smartphone customers were definitely weaker in Q1. We anticipate probably that will start strengthen at the end of Q2. And then second half, probably, they will be a little bit stronger, but that’s on the smartphone side.
Cody Acree: And thank you for that. Emeka, with that broad range of gross margin guidance that you have given, but obviously, a lot of things trending towards the upper end of that, I guess, what kind of scenario would you envision that could put you back into that lower end given what you are seeing in your demand mix trends?
Emeka Chukwu: Well, I think, Cody, our gross margin story just continues to remain very simple. It’s mostly driven by the mix of revenues. Our enterprise computing, our industrial and communications revenues do come with much higher gross margins than the high-end consumer. So if at anytime we see a much bigger mix of high-end consumer revenue that could move us more to the lower end. But having said that, what we’re anticipating is that the current mix of businesses that we have now and the end markets that we have right now allows us to stay at the current level, 60% to 61% gross margin, if you will. Then what we expect in the next year to 18 months is that we’ll start to see more revenue contribution from the industrial and the automobile sections for our protection group of products and that we’ll start to see more revenue contributions for our power management from the industrial and our communications end markets as well. So that actually would allow us to continue to move our gross margins forward. We think those are the drivers that would take us about 61% to 62%. And like I said during the call, during my prepared remarks, when we start seeing a significant contribution from LoRa IP and the geolocation revenue, that is actually what takes us to the 62% to 63% gross margin range.
Cody Acree: Perfect. Thank you for that. And then lastly, if you just have any comments about the expectations for seasonality for the second half of the year?
Mohan Maheswaran: Well, that’s tough to call, Cody, at the moment. We are anticipating a strong year. Certainly, our guidance for Q2 suggests a strong Q2. And currently, our thoughts are that the second half is going to be reasonably strong as well. And as we talked about our record year, it kind of indicates that Q3 is probably going to be fairly strong. And then Q4 is too far out to call I think, but seasonally, that’s typically down. But it’s a question of how far down, right?
Cody Acree: Alright. Thank you, guys. Congrats.
Mohan Maheswaran: Thank you.
Operator: Your next question comes from the line of Harsh Kumar from Stephens Inc.
Harsh Kumar: Congratulations, Mohan, Emeka, Sandy. Very good job on execution. I had a couple of questions. Emeka, if I can ask you, every now and then I see these payments to Comcast. I was curious, are they annual or are they goal-based? Could you maybe clarify when we can expect them? And also, how many cities are the gateways by Comcast rolled out in the U.S.?
Emeka Chukwu: So, Harsh, yes, this is the expenses that are tied to the warrants that we give to Comcast as they are getting with trying to rollout LoRa platforms across the U.S. The expense is recognized on a quarterly basis and is actually really driven by the amount of work that they have actually done. There are various milestones that are included in the agreement. And based on how much of the milestones they have actually achieved, then that’s how we recognize expenses. So every quarter, there are two things that would drive the amount of the expense. It is the amount of work done and also any change in stock price. So it’s an expense that is recorded every quarter. We anticipate that we are going to be doing this all of fiscal 2018 and 2019. Our expectation for fiscal 2018, based on the agreement and the milestones, is that we are probably going to pickup a total of about $20 million of expense that is related to this Comcast warrant. I think so far, based on the Q1 results and what we have guided to in Q2, we have already recorded $8 million. The expectation is that the remaining amounts which is about $12 million is going to be mostly back end-loaded based on where we expect the milestones to be achieved.
Harsh Kumar: Understood. Thank you, Emeka. And how many cities has this rolled out in yet?
Mohan Maheswaran: So Harsh, the trials are currently going on in Philadelphia, San Francisco Chicago. And then, assuming those trials go well, then they will roll out into additional 10 cities. And then follow on from then, 10 more, and then end up with 30 cities was the commitment that they made to us.
Harsh Kumar: Understood. Mohan, if I can ask you one more, the data center piece, how large is that bucket? I know you don’t break it out quite like that, but I was curious, is it greater than 10%, mid-teens, or whatever you can throw at me in terms of color? And then also, what is the growth rate that you are seeing in that bucket, if you had a – if I had to make you guess that number?
Mohan Maheswaran: Well, it’s about mid-teens, Harsh. You are right, we don’t break it out. And we do have various contributors, several of our businesses contributing into that business area. But the fastest growing is, by far, our ClearEdge CDR platforms, which are really doing very well. The quad CDRs in the data center applications, and that is growing. Last year, it was 100%, over 100% growth I think. And this year, it’s going to grow double – very high-end double digits, I think probably in the 20%, 30% kind of growth.
Harsh Kumar: Okay, understood. And I was surprised to see the wireless charging maybe was down – I know it’s not a big part of your business, but I was surprised to see it was down in the April quarter. Any specific reason for that, Mohan? Or was it just the way things shook out?
Mohan Maheswaran: Yes. The whole power and high-rel business, so it wasn’t just the wireless charging piece of it, I think was more seasonal Harsh. I think some of our power business is more kind of core legacy kind of power business, so tied to the PC market and some of that stuff, the areas that are growing, other wireless charging, the Neo-Iso areas. And so I think it’s nothing to be concerned about. My sense is that it’s going to come back again in Q2.
Harsh Kumar: Got it. And last one, Mohan, when I look at your company, I see several areas that are just in hyper growth such as LoRa and then maybe even the data center piece and several others that are coming back. How should I think of the correct growth rate of your company? I know that you – historically, you said it’s GDP plus something. And then I think the latest take was maybe closer to high single digits. But when I look at these kind of growth sectors’ stable economy, what I should be thinking of as a correct growth rate, more appropriate growth rate for the company?
Mohan Maheswaran: Well, we have always said, Harsh, the plan has always been, we take industry, plus or minus – plus 3% growth, and that’s kind of what we will target. Obviously, with things going the way they are, we should achieve a record year this year and grow and outperform the industry again, which is good. Certainly, we rely on the data center, Hyperscale and the cloud growth, the mobile market, to continue to do well and then, of course, the IoT space, the 3 key areas of end market growth for us. And that’s what we focus on. And as long as those markets do well, then we should have a very strong year.
Harsh Kumar: Congrats guys.
Mohan Maheswaran: Thank you.
Operator: Your next question comes from the line of Mitch Steves from RBC Capital.
Mitch Steves: Hi, guys. Thanks for taking my question. So I wanted to kind of turn to Signal Integrity and just talk like kind of the optical side of the business. Can you maybe give us an update? I know you guys said that optical is about 80% of that segment. So what kind of trends are you guys seeing? And how do you think it shakes out for the rest of the year?
Mohan Maheswaran: Yes. The optical business is doing very well. Our optical business is mostly on the data center side, but we also have, obviously, the 10-gig GPON, which I mentioned is doing very well as well. The base station, not so well, as I mentioned. So I think we expect the data center side to continue to do quite well for the rest of the year. And our expectation is 10-gig PON as well is going to continue to do quite well for the rest of the year. So we are expecting and anticipate the optical business to continue to have a very strong year.
Mitch Steves: Got it. And then secondly, just kind of circling back into warrants and LoRa, so is that $5 million number essentially all LoRa? And then, are you guys still on track or expected to beat that $100 million target you had out in ‘18 or so?
Mohan Maheswaran: Well, I will take that question first, and then Emeka can talk about the Comcast warrants. We had set up a path to achieve $100 million of revenues from LoRa. Last couple of years, we have done very well. We grew our LoRa business quite nicely. And last year, we were in the $30 million to $40 million range. This year, we are expecting to be in the $50 million to – $40 million to $50 million range, I think. And next year, hopefully, in the $80 million to $100 million range, which is kind of the goal. The momentum is going very nicely. Obviously, I mentioned, lots more gateways out there, lots more connectivity to those gateways and then lots more use cases. So it’s going, I think, really better than we had anticipated. The growth vector at the moment, it’s also very global. We have over 50 to 60 countries now rolling out LoRa networks. And the Comcast initiative was a very important initiative, which we obviously announced last year, but it’s starting to do quite well for us from the standpoint of the North America market where we do need the connectivity. And so Comcast is a key partner for us there. And so that’s why that’s important. But Emeka, do you want...
Emeka Chukwu: Yes. So Steve, the $5 million is entirely due to the Comcast warrant, which is all for the deployment of LoRa in North America.
Mitch Steves: Perfect. Thank you.
Operator: Your next question comes from the line of Craig Ellis from B. Riley & Co.
Craig Ellis: I thanks for taking the question and congratulations on the execution. Mohan, I wanted to follow up on a couple of prepared comments and just really focus on some of the longer-term items. So one, with respect to Signal Integrity, you mentioned that you have the opportunity to double your SAM over the next few years. Can you just lay out some of the milestones to SAM expansion of that magnitude?
Mohan Maheswaran: Yes. It’s really driven by the use of CDRs in high-speed connectivity. When you look at the 10-gig systems, there’s just a lower percentage of CDRs being used. And as you go to 100-gig, the number of CDRs being used, because of the Signal Integrity issues, just increases dramatically. So Signal Integrity just generally becomes a much bigger problem in higher bandwidths. And that’s really the primary reason why the SAM grows, in addition to the fact that the markets are growing quite nicely. And then we are also bringing out new products that are – we haven’t really had in some of these spaces before. So as I mentioned, our first real play in 100-gig, 400-gig PMD products with our TIAs and drivers, these are the first PAM4 products that we have done on the PMD side, so that’s also going to expand our SAM. So the combination of those 3 factors is really what’s driving the SAM expansion.
Craig Ellis: That’s helpful. And then secondly, with respect to the Protection business, it sounds like the large Korean customer maybe taking protection to parts of the portfolio that they hadn’t, at least last year – I don’t know if we can go back further than that. But are you seeing that there’s broader adoption with that customer? And if so, what does that mean for what you would expect to see with other customers, given their leading edge process technology?
Mohan Maheswaran: Yes. And so that’s exactly right, Craig, that’s what’s happening. And I think quality has become a very key factor in the smartphone space, quality and robustness and making sure that phones are not returned. And so obviously, protection plays a key role in that. And then, you go to advanced lithographies and they become more sensitive. And so we feel really good about where we are not only with our Korean customers but also our China customers, and other smartphone customers around the world are all starting to recognize, I think the value of having robust protection in their systems.
Craig Ellis: Lastly, one perhaps for Emeka. With regards to the turns required to meet guidance, I think it was low 30s, 31%, 33%, something like that, that strikes me as a bit lower than normal with more normalized being in the low 40s. Am I correct on that or am I reading that incorrectly?
Emeka Chukwu: Yes, I think you are correct. In Q1, the turns achieved, was 41%. And what we need to meet, the midpoint of our guidance, is 33% or so as you indicated, right. But I think that is more due to the fact that we came into the quarter with a very strong backlog, so we don’t need as much turns.
Mohan Maheswaran: Yes. 31% is the number that – of turns we need for this quarter to meet the midpoint of the guidance, Craig.
Craig Ellis: Great. Thanks, guys.
Operator: Your next question comes from the line of Tristan Gerra from Baird & Company.
Tristan Gerra: Hi, good afternoon. Given the decline in your industrial business in the quarter, which was a little bit in contrast with some key areas, is it fair to assume that the decline was driven by the power and high-reliability product, given that industrial was up in the production group? And maybe a little bit more color as to how do you expect that end market to trend in the next quarter and for the rest of the year for you?
Mohan Maheswaran: Yes. So industrial is doing well for us in general and I think will continue to do quite well, mostly because of IoT, LoRa business is growing and then some other areas. I would just – I would say that in Q1, it was just overall kind of a number of different things. Our video business was slightly down, I think general industrial and power and high-rel, as you already point out, but we are expecting the rest of the year to be pretty robust on the industrial side.
Tristan Gerra: Great. And then, obviously, very good traction in your LoRa business and certainly the positive commentary is echoed by what we are hearing in the channel. How do you look at the initial 5G ecosystem rising in a few years in terms of the LoRa dynamics? Does that change anything in customer strategies using an existing network or it doesn’t matter because the power consumption is much higher? So, if you could just provide some more long-term color on those evolving standards?
Mohan Maheswaran: Yes. So we believe that they will coexist. The low-power wide area network and any LTE or NB-IoT or 5G kind of cellular infrastructure will coexist. And the reason is very simple we think they are the two very different spaces. One requires very low-power, very low cost kind of infrastructure and connectivity and the other one needs more high bandwidth. And then so LoRa has a place today. And what we are finding is many IoT used cases are totally new used cases. They are just new applications that you cannot use existing kind of approaches, because they don’t make economic sense or they just don’t have the power, the low power required. So we are quite confident and that’s one of the reasons why if we look internationally and look at the different regions of the world that are using LoRa and have started to adopt it, it’s got some very powerful kind of momentum. And these are with – also with companies that will also rollout communications and telecommunication infrastructure. So, I think the market is there, going to be big enough to accommodate multiple different approaches.
Tristan Gerra: Great. Thank you.
Operator: Your next question comes from the line of Rick Schafer from Oppenheimer.
Josh Buchalter: Hi. This is Josh Buchalter on behalf of Rick. Congrats on the results and thank you for taking my question. I just wanted to dig on the China handset commentary a little more. We have seen some other guys in the space mention a sharp snapback in the second quarter. And would you describe it as more of an inventory issue or is it end demand not picking up until the end of your second quarter?
Mohan Maheswaran: I would say it’s more that China has had a very strong ramp up in smartphones and is now stabilizing, so their share in the market, the global markets is kind of stabilizing. So they are just trying to figure out what is their real demand. And so I think it’s more of just of a Q2 phenomenon and probably we will start, in the second half, to see China picking backup again.
Josh Buchalter: Okay, thank you. And then I wanted to dig a little on the protection business. I can understand conceptually how moving to advanced lithographies requires more protection, but are there any metrics or either attach rates or ASPs you can give us as we move further down process nodes, like similar to CDR?
Mohan Maheswaran: Well, it’s difficult because every advanced chip is different and every system is different. But the point to make is that when you have advanced lithographies and the transistor sizes really don’t allow – the chip doesn’t really enable you to put on-chip protection, you need to have it off-chip. So almost every line that’s coming – every signal line that’s coming into the advanced chips will have to be protected outside in some shape or form. And that problem only gets worse as you go to 10-nanometer and 7-nanometer and beyond. And if you don’t protect them, then there is a good chance that your system will fail.
Josh Buchalter: Thank you. It’s very helpful. Congrats again.
Mohan Maheswaran: Thank you.
Operator: No further audio questions at this time.
Sandy Harrison: Okay. Any other questions in the queue, operator?
Operator: There are no further audio questions at this time.
Sandy Harrison: Great. Thank you.
Mohan Maheswaran: In closing, we are pleased that fiscal year 2018 is off to a strong start. We continue to deliver performance at the upper end of our guidance range driven by our strong positions in high-growth markets, including cloud and hyperscale data centers, optical connectivity, mobile devices and IoT. Our increasing margins and continued spending discipline has enabled us to consistently deliver earnings growth well in excess of our revenue growth. We believe that the trends we enjoyed in Q1 are sustainable and should help us to deliver record financial results this year. With that, we appreciate your continued support of Semtech and look forward to updating you all next quarter. Thank you.
Operator: That does conclude today’s conference call. You may now disconnect.